Operator: Thank you and welcome everyone to FormFactor’s First Quarter 2011 Earnings Conference Call. On the call today are Chief Executive Officer, Thomas St. Dennis; Chief Financial Officer, Rich DeLateur and Vice President of Finance Michael Ludwig. Before we begin, let me remind you that the company will be discussing GAAP P&L results and some key non-GAAP results to supplement understanding of the company’s financials. A schedule that provides GAAP to non-GAAP reconciliations is available in the press release issued today and also on the investor relation at FormFactor’s website. Also a reminder for everyone that today’s discussion contains forward-looking statements within the meaning of the federal securities laws. Such forward-looking statements includes but are not limited to, projections, including statements regarding business momentum, demand for our products and future growth, statements that contain words like "expects," "anticipates," "believes," “possibly,” “should” and the assumptions upon which such statements are based. These forward-looking statements are based on current information and expectations that are inherently subject to change and involve a number of risks and uncertainties. FormFactor’s actual result could differ materially from those projected in our forward-looking statements. The company assumes no obligation to update the information provided during today’s call, to revise any forward-looking statements or to update the reasons, actual results could differ materially from those anticipated in forward-looking statements. For more information, please refer to the risk factors discussed in the company’s Form 10-K for the fiscal year 2010 as filed with the SEC subsequent Forms 10-Q SEC filings and in the press release issued today. With that, we will now turn the call over to the CEO, Thomas St. Dennis.
Thomas St. Dennis: Good afternoon. The first quarter of 2011 represented yet another positive step forward in the turnaround of FormFactor’s performance. The company continues to make progress on reducing expenses and cash burn while improving gross margins. Lead times decreased again by approximately 10% over Q4 and I expect all of these trends to continue in the coming quarter. As we indicated in our December call, we expected our Q1 revenues to be down significantly from Q4. The quarter ended a little better than we expected primarily from increased turns in the DRAM area of the business including business resulting from recent qualifications. In the end, DRAM and SoC were essentially flat quarter-over-quarter with Flash being the primary driver of the quarter-to-quarter decline. While there are promising developments in Flash as I discussed at the last conference call it may take a while for Flash to rebuild to last year’s levels and show year-over-year growth. The tragedy that struck Japan on March 11th created some significant challenges for our customers and our suppliers. There are a couple of customers who had to moderate their manufacturing plant due to plant damage, which will impact our business with them somewhat in Q2 and Q3. Additionally, there have been some supply delays that impacted our deliveries early this quarter. At this point, our supply chain at Japan has returned to normal levels and our thoughts and prayers go out to all the people of Japan as they work to recover from this disaster. Customer qualifications in the Matrix product line continued in Q1 with successful closure at one DRAM customer and one NAND Flash customer. We expect that revenues will ramp up with these two customers through Q2 and Q3. We still have one major customer left to qualify in each of the DRAM and Flash markets. At high level, business is showing an uptick consistent with seasonality experienced in past years. And as discussed previously we expect Q1 to have been our low point for revenue. Going forward our focus remains on improving execution across all areas of FormFactor. Our first goal is to structure FormFactor to be cash flow breakeven at a revenue level of $50 million per quarter. This requires further improvements in our product cost and overhead as well as our operating expenses. In manufacturing, we will further reduce lead times while improving on time delivery and quality. So we have a substantial amount of R&D dedicated to all areas of memory technology. We have recently kicked off an incremental investment in vertical spring technology and platforms for the SoC market. This technology will open up a large portion of the SoC market that our current true scale and true scale Matrix products do not serve. And we expect that the SoC market will be the fastest growing portion of the advanced probe card market over the next three years. Beyond regaining our market share in DRAM, SoC remains the most promising avenue of growth for FormFactor. Even with this incremental investment in the SoC market we expect to meet our goal at getting non-GAAP OpEx below $20 million per quarter. As we announced today, Mike Ludwig will become Chief Financial Officer on May 16th succeeding Rich DeLateur. We have been very fortunate to have this depth of executive talent during the past year and allows us to make a seamless transition in the finance leadership at FormFactor. Rich has been a driving force in FormFactor’s turn around and I want to thank him and acknowledge him for his critical contributions through a very difficult time. Rich will be joining FormFactor’s Board of Directors, so please be sure that he will remain dedicated and focused on FormFactor’s success and we expect him to be an active board member. Mike Ludwig has a long history with FormFactor having been the Corporate Controller when FormFactor went public and has been a key member of the executive team as we’ve navigated through the past year. I look forward to working with Mike as we complete the turnaround at FormFactor and get back to profitability and growth. Now, I will turn it over to Rich to go through our operational performance and our Q2 guidance.
Richard DeLateur: Thank you, Tom. The results for our first quarter as follows Total revenue was $40.4 million, down 8% sequentially and slightly up 2% on a year-over-year basis. The revenue declined from the fourth quarter and primarily from the Flash sector of the business the details are as follows First quarter revenue for DRAM products was $26.9 million, flat to mark fourth quarter and down 15% versus the first quarter a year ago. Flash revenue was $6.2 million, a decrease of 33% from Q4 and up 77% versus the first quarter a year ago. Mode [ph] Flash continue to be the majority of our Flash revenue at $4.2 million. SoC revenue was $7.3 million in the first quarter, down 6% sequentially and up 66% versus the first quarter a year ago. Revenue from our new product architecture SMART Matrix and TouchMatrix was $13.1 million, which represents 93% of our full wafer contact business. First quarter GAAP gross margin was $4.1 million or 10% of revenue, compared to $3.3 million or 8% of revenue for the fourth quarter. On a non-GAAP basis, gross margin for the first quarter was $4.9 million or 12% of revenue, compared to 10% in the fourth quarter. Write offs related to excess amounts of inventory came down significantly, but were offset by a negative product mix and lower absorption of fixed spending due to reduced revenue levels. We expect an improvement in inventory write offs to continue and the impact related to product mix to be more temporary. Lower absorption of fixed spending due to reduced revenue levels will continue to weigh negatively on our gross margin until we grow our revenue. Our GAAP operating expenses were $25.3 million for Q1, compared to $27.2 million for Q4. Q1 operating expenses with $1 million of restructuring charges and additional $0.4 million charge for impairment in certain assets. Non-GAAP operating expenses for the quarter were $20.8 million down $1.7 million from $22.5 million in Q4. Demonstrating continued reduction in operating expenses and better than our previous guidance. We continue to review all aspects of our spending and will continue to take the required actions to achieve our targeted structure by midyear with OpEx less than $20 million for quarter on a non-GAAP basis. Cash comprised of cash in short-term investments end of the quarter we had $334 million, $14 million lower than the previous quarter, which is lower than our previous guidance. This cash usage includes $2 million for the repurchase of common stock. This was driven by higher than anticipated collections and lower than forecasted fixed asset additions. Our stock repurchases since inception of the program have been 332,712 shares at an average price of $8.88. Under our current program, we are authorized to purchase an additional $47 million worth of shares over the next six months. Here is some other financial details. Our depreciation and amortization in the first quarter was $2.9 million. Our capital additions were $1.8 million. We expect capital spending for all of 2011 to be at or below $12 million. Before I discuss Q2, I want to address our position around breakeven. We continue our efforts to structure the company to be cash flow breakeven at $50 million by midyear. A considerable progress has been made towards this goal we still have $3 million to $5 million worth of actions that will drag into Q3 and possibly Q4. With respect to Q2, we expect Q2 revenue to be in the range of $42 million to $46 million. We expect continued improvement in the management of our excess inventory charges and reduced spending from the sensational manufacturing activity in Singapore, as well as other cost saving activities. Consequently, our non-GAAP gross margin should improve from Q1 and be around 14% to 20% of revenue. We expect continued improvement in non-GAAP OpEx that should drop by as much as $1 million in Q2 2011 to be at or below $20 million. We expect Q2 cash burn to be roughly equal to Q1 not including any stock repurchase activity. With that let’s open the call for Q&A. Operator?
Operator: (Operator Instructions) our first question comes from the line of Timothy Arcuri from Citi.
Wayne Nguyen – Citigroup: Hi, this is Wayne Nguyen [ph] for Tim. Couple of questions in terms of the Japan earthquake could you provide more color on the impact you and your competitor have the market share situation in the near term or long-term.
Richard DeLateur: We don’t get data real time to do exact calculations but for the DRAM I imagine we got about 50% in Q1.
Wayne Nguyen – Citigroup: So you shared at least 50% from what’s your previous estimate before the earthquake.
Richard DeLateur: That’s not right it’s definitely not what we expected and that Q4 is very difficult to calculate a share market calculation because we have a large amount of deferred revenue in Q4 and plenty of calculations.
Wayne Nguyen – Citigroup: Okay so obviously Q1 numbers are little bit on a high end of your guidance. Do you see, what do you see the dynamics in DRAM in Q2. You mentioned about some of the impacts in Japan in terms of your sales leverage on Japan side but also there is increasing kind of alternatives. So overall can you give us more color on what the DRAM is shaping up in Q2?
Thomas St. Dennis: I think that the DRAM opportunities now are more stable and look more promising than they did in the Q1 timeframe. The customers went through or intend seem to be settling out now but went through a fair amount of searching around in terms of the mix of their products between mobile and commodity DRAM or server DRAM and at this point in time that appears to have stabilized somewhat and is now they are back investing more specifically and look to have their plant settled out and that’s reflected in our increase in revenue guidance in Q2.
Wayne Nguyen – Citigroup: Okay last question in terms of Flash (Inaudible) what’s the reason that the revenue chart in Q1 and what do you see in Q2 will it be able to bounce back or continue to be depressed?
Thomas St. Dennis: Actually Q4 had some unusual activity and I think you will be able to see what it looks like when the 10-Q comes out and that one particular competitor usually large quarter with us. So Q4 is actually a little bit above trend for Flash. You will see Flash recover in Q2 but not to the levels that we were used to last year that will probably take a couple of quarters.
Wayne Nguyen – Citigroup: Great thanks.
Operator: Thank you and our next question comes from the line of C.J. Muse from Barclays Capital.
C.J. Muse – Barclays Capital: Yeah, good afternoon. Thank you for taking my question. I just first question in your prepared remarks you talked about how you expected revenues in Q1 to be the low point and I guess there is something to probe a little bit deeper into that in terms of the confidence level there on saying that little for the year. I’m assuming that’s the contact and I guess if you can kind of walk through what you are seeing in kind of the various end markets that provides that confidence and if you can kind of just to pose between what you are seeing in the market and then what you are seeing in terms of your market share win successes. So that you can really see that confidence.
Thomas St. Dennis: Well the comments that we made about Q1 being a low point were related to the fact that we were still engaged in product qualifications for the Matrix product line both SMART Matrix and TouchMatrix. And that we thought we would complete some critical qualifications that would allow us to re-engage with customers and to their design flow and revenue stream as we moved into Q2, Q3 and Q4. We completed two of those key qualifications and have begun to receive multiple card orders and follow on designs as a result of those qualifications. So really it was a matter of we were not, we were not qualified at several of the customers and needed to get the products qualified so that we could participate in their full wafer contact requirements and completing that in Q1 gives us confidence moving on then into Q3, Q4 to continue to participate there. We also are as I mentioned focused on two more important qualifications that I would expect us to get completed over the course of the next two quarters. So with that and with the generally improved outlook that I think was reflected by Intel and several companies we would expect to be able to see growth as we continue through the year.
C.J. Muse – Barclays Capital: I think that’s pretty helpful. I think if I could add to that in terms of that the growth through the year does that require those two other falls to get completed or not.
Thomas St. Dennis: You know I don’t know at this point the reason is that this market has a seasonality to it as I mentioned in my remarks. And generally speaking Q2 and Q3 are quite strong Q4 and Q1 are typically lower than Q2 and Q3. So we will see how this year turns out if it follows that or not. But obviously the next two falls would be very important for strengthening the revenue in the Q4 and Q1 timeframe for next year.
C.J. Muse – Barclays Capital: That’s helpful and if I could follow up on the gross margin stat. Just to be clear in terms of the gross margin guidance that is pro forma.
Richard DeLateur: I guess on a non-GAAP basis yes.
C.J. Muse – Barclays Capital: Okay and then I guess thinking about inventory write down can you share with us what that number was in March and how we should see that trajectory through the remainder of fiscal ’11.
Richard DeLateur: Yeah, we don’t disclose the exact in and outs of inventory as obviously you can see well the change in net, which was down $2.8 million in the 10-Q plus to the high level we probably have got half of the reductions we should have gotten from what was a pretty high level in Q4 than Q1 or should be able to match that improvement going forward.
C.J. Muse – Barclays Capital: So I guess maybe asking you another way. If you were to hit the midpoint of your guidance again in September I’m not saying that that’s what you are saying. But if you were to what kind of gross margin will we see there instead of the 14 point that you guided to today.
Richard DeLateur: I can answer in regards to inventory if we had executed perfectly you might have seen 4% to 6% higher gross margin.
C.J. Muse – Barclays Capital: So it could be close to 18 to 26 in the second half of the year at a flattish revenue run rate.
Richard DeLateur: It should improve beyond that because there are other activities beyond inventory that are going to help the margin out.
C.J. Muse – Barclays Capital: But the 18 too?
Richard DeLateur: But didn’t quite track your numbers by the way so.
C.J. Muse – Barclays Capital: Well you have guided 14 to 20 pro forma and you said you thought you could add 4 to 6 on top of that is that correct?
Richard DeLateur: Well pro forma guidance would include more improved inventory probably not 4% to 6% range but at least 2%.
C.J. Muse – Barclays Capital: I will have a follow up on that later. Thank you very much.
Thomas St. Dennis: Thanks C.J.
Operator: Thank you, sir. Our next question comes from the line of Patrick Ho from Stifel Nicolaus.
Patrick Ho – Stifel Nicolaus: Thanks a lot and congrats Rich and good luck. In terms of the lead times and the improvements that you discussed Tom can you just give us a little bit of a timeline of how much more improvements you can make and when you believe you get lead times to optimum levels?
Thomas St. Dennis: Well currently we are demonstrating an ability that I would say get to you know competitive and optimum levels on a one off basis right now. Our target is to go into the third quarter beginning in July quoting at what I would say is the perhaps the high end of the optimum range if you will but certainly far more competitive than we were for example in the Q4 timeframe. We will by that point in time we will have reduced our lead times by over 30 days. So going into Q3, I would expect that we are at a healthy competitive position with regards to lead times although I wouldn’t say that it’s a competitive advantage on it but I think it will neutralize any issues we’ve had in the past and we have had issues competing in the past because of lead time.
Patrick Ho – Stifel Nicolaus: Okay that now that’s great. And in terms of the remaining qualifications that you are working on with you know these customers that you are trying to gain with Q3 and Q4. Going back to the lead time would you say that that’s perhaps the biggest variable that will help you win that business or there is still other variables that you know need to be worked through to get them on board.
Thomas St. Dennis: Well there are technical issues particularly with their test strategies that we have to work with them on and they have some very unique test engineering requirements that we are learning more about as we engage with them and that’s been a part of the a key part of the program that has actually extended it. I had hope that one of them would have been complete by now I don’t know by the end of last quarter but by now anyway. And lead time I would say that lead time is not the key enabler with those customers that’s more of working through the technical requirements and it’s also vital on, on time delivery and of course lead time plays a key role on that in terms of your overall execution so on time delivery is key in one customers mind and we’ve made we’ve demonstrated improvement there in our general business but we have, have to complete that to really see it ramp up.
Patrick Ho – Stifel Nicolaus: Great and final question from me you know Rich in terms of the gross margin range 14% to 20% on the call you talked about various things that have impacted Q1 like absorption, product mix and some of the inventory write offs. Given that wide range what are going to be the key variables you know on both ends of that spectrum?
Richard DeLateur: Right, so there is things that are in our control, which have to do with the overall size of our factory network, how we manage inventory and in terms of the pretty given goal OpEx, which obviously is not a gross margin item. I think there are things that are slightly in our control, which is product mix and that goes from a product standpoint and from an account standpoint. So when I talk about that range of $3 million to $5 million the $3 million really represents items that we have identified and are working on or like to put our hands on and the second $2 million, which is why I give a range really reflects that we don’t know what the exact product mix will be at that $50 million. If the product mix goes for us you get a much higher margin if it goes against us come back to the drawing board. And obviously margins I mean mix is a major part of the margin calculation. So a lot of moving pieces there and that’s why you get that $3 million to $5 million range.
Patrick Ho – Stifel Nicolaus: Great, thanks a lot guys.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Jim Covello from Goldman Sachs.
Jim Covello – Goldman Sachs: Great guys good afternoon thanks so much for taking the question. I understand and certainly applaud all the short-term things we are doing to get back to profitability and to get to expense structure under control and understand you know that from a quarter-to-quarter basis this looks like the trough in revenue and when we go higher from here and there is some opportunities in NAND. But if we look at a little bit further from sort of this day-to-day or quarter-to-quarter stuff and go out a couple of years. How do you envision from becoming a big company a significantly profitable company sustainably over the course of this cycle? What’s the long-term solution there? Thanks so much.
Thomas St. Dennis: Well Jim, if you look at the recent data out from VLSI [ph] and all that market opportunities in the probe card market are continuing to grow and the advanced probe card market meaning the areas where (Inaudible) has it’s probably it’s greatest leverage are growing the fastest as any sector within the overall probe card market. So I think our opportunities are out there in front of us. One of the struggles that FormFactor’s had has been being very narrowly focused in the market almost exclusively DRAM and then having gone through the product problems that we have gone through it constitute a real set back without any diversification within a rather narrow market. But at least without revenue opportunities in Flash and SoC it made a very difficult period of time for FormFactor. As I mentioned today we’ve got a new investment that we’ve kicked off to build and focus on the SoC market. We believe this market will be one of the strong growth areas within probe cards and advanced probe cards and the company is has a heritage of that on its beginning but then re-vectored it, the product towards DRAM and really left a lot of the SoC market behind, reinvigorating that is going to give us an opportunity to go access a couple hundred million dollars a year of incremental market that we really can’t access today. And I think what that does then is it gets us into a kind of critical mass within this market where we can generate good revenue good profits. And then from that standpoint or from that point forward go and explore other areas where our core competencies, market capability, channels et cetera, could be leveraged to grow from there. But, right now, focused on adding one more important market segment to the revenue profile over the next couple of years.
Jim Covello – Goldman Sachs: I’m surely off on perspective. Thanks so much.
Operator: Thank you, sir. And we have no further questions in the queue. This does conclude the conference call for today. Thank you for your participation. You may now disconnect.